Operator: Greetings, and welcome to the National Storage Affiliates' First Quarter 2019 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Marti Dowling, Director of Investor Relations for National Storage Affiliates. Thank you, Mrs. Dowling. You may begin.
Marti Dowling: Hello, everyone. We would like to thank you for joining us today for the first quarter 2019 earnings conference call of National Storage Affiliates Trust. In addition to the press release distributed yesterday, we filed an 8-K with the SEC containing our supplemental package with additional detail on our results, which may be found in the Investor Relations section on our website at nationalstorageaffiliates.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements that are subject to risks and uncertainties. The company cautions that actual results may differ materially from those projected in any forward-looking statements. For additional detail concerning our forward-looking statements, please refer to our public filings with the SEC. We also encourage listeners to review the definitions and reconciliations of non-GAAP financial measures such as FFO, core FFO and net operating income contained in the supplemental information package available in the Investor Relations section on our website and in our SEC filings. Today's conference call is hosted by National Storage Affiliates' Chairman and Chief Executive Officer, Arlen Nordhagen; President and Chief Financial Officer, Tamara Fischer; Chief Operating Officer, Steve Treadwell; and Vice President of Investor Relations, George Hoglund. Following prepared remarks, management will accept questions from registered financial analysts. I will now turn the call over to Arlen.
Arlen Nordhagen: Thanks, Marti, and good morning, everyone. Before I discuss our quarterly results, I'd first like to point out that we recently celebrated the 4-year anniversary of our IPO. And as such, I think, it would be helpful context to highlight some of our accomplishments over that time. Since our IPO, we've acquired nearly $4 billion of properties, drove same-store NOI by a quarterly average of 8.3% year-over-year and grown core FFO per share by a quarterly average of almost 15% year-over-year. We've also added 4 new PROs plus our internal management PRO and implemented an aggressive joint venture investment strategy. Lastly and perhaps most importantly for our investors, since IPO, we've delivered total shareholder returns of over 160%, which leaves the Self Storage sector. We're very proud of our accomplishments to date, and we look forward to continuing this success in 2019 and beyond. Now turning to the current environment, we see that the broader economy is providing a favorable backdrop for Self Storage. The economy grew at 3.2% in the first quarter, the highest rate of first quarter growth in 4 years. And demand for Self Storage units remain solid. Regarding new supply, we're encouraged by our recent market data that suggests that the pipeline of projects under construction has peaked, and we continue to see projects in the planning phases being canceled. We also continue to believe that 2018 represented the peak in new supply deliveries in our markets, although 2019 will be another significant year. Against this backdrop, we're pleased to report another excellent quarter. Once again, our strong first quarter results of 4.8% same-store revenue growth and 6.7% same-store NOI growth benefited from our differentiated PRO platform as we continue to hone our operational strategies while executing on our external growth strategy. We were able to deliver these results in the phase of continued pressure from new supply and stiff competition on the acquisition front as there remains a significant amount of capital, chasing desirable Self Storage assets. Our strong start to the year positions us well to deliver outsized growth in core FFO per share in 2019. In addition to healthy operations during the quarter, acquisition volume was significant. We brought on two new PROs Southern and Moove In and acquired a total of 32 properties for approximately $195 million. Average cap rates remained in the low to mid-6% range with market pricing relatively unchanged from recent quarters. To date, we haven't seen much improvement in cap rates and haven't spotted many distressed sales, except for a few nonstabilized properties and a couple of severely overbuilt markets. Competition for acquisitions remains high, where as we continue to benefit from our PRO structure through their established local market relationships and knowledge. Our first quarter core FFO per share of $0.37 grew by 15.6% over the prior year period, fueled by a combination of strong same-store NOI growth, robust acquisition volume and growing fees from our JV platform. These results are a reflection of the outstanding execution of our business plan on the entire NSA team. From a supply perspective, we believe new supply in our markets will remain at elevated levels in 2019, and we expect the impact on fundamentals to increase over the course of the year. That said, given our higher level of secondary market exposure relative to our peers, we expect our portfolio will experience less pressure from new supply, given that excess supply this cycle has been disproportionately weighted to the primary markets. We estimate 35% of our stores are affected by new supply in the 5-mile trade area. But as I've mentioned before, we have and will continue to benefit from the significant geographic diversity of our portfolio, with the majority of our markets seem to balance or in a favorable supply-demand picture. Although new supply is waiting on street rates in several markets and drives the need for increased marketing efforts and discounting, we remain confident in our ability to continue to push mid- to high single-digit rent increases to in-place customers, which is a key driver of our revenue growth. We're further encouraged by our 40 basis point average occupancy gain in the first quarter, following a 20 basis point decline in occupancy for the full year 2018. We believe the strength of our PRO platform and the fact that we're in the early stages of a life cycle of holding our revenue management and Internet marketing platforms, we'll provide additional operational upside going forward. We complement our internal growth with external levers inherent in our differentiated platform, including a deep pipeline of acquisitions, which we source to our PROs and their network of industry relationships as well as an active joint venture strategy. Having 10 PROs essentially means having 10 acquisition teams in the field, in addition to our corporate acquisition team. As such with approximately $210 million in acquisitions completed year-to-date, we're well on our way to meeting our full year 2019 acquisition guidance of $300 million to $500 million. In addition, the captive acquisition pipeline managed by our PROs but not yet owned by NSA is currently over 100 properties valued at approximately $1 billion. This powerful external growth engine combined with our sector-leading same-store NOI growth gives us confidence that we will again achieve core FFO per share growth that leads our sector. With that, I'll now turn the call over to Tammy.
Tamara Fischer: Thanks, Arlen. As mentioned on our last call, our 2019 same-store pool increased by 63 stores and our 439 properties same-store pool represents nearly 85% of our wholly owned stores. For the first quarter, same-store NOI increased by 6.7%, driven by growth in same-store revenues of 4.8% and relatively flat same-store property operating expenses. We continue to push rate increases on existing tenants, which drove a 4% increase in average annualized rent per square foot. And we were pleased with the 40 basis point increase in our average occupancy during the quarter. Our revenue growth was better than expected this quarter, partially due to a healthy contribution from the 63 stores added to the same-store pool this year. In addition, we're seeing solid execution by our PROs, who continue to benefit from our evolving revenue management and Internet marketing platforms. Same-store expense growth for the quarter was relatively flat at just under 1%, benefiting from operating efficiencies, moderate increases in property taxes of just under 4% and in line with the remainder in many of our markets. While we're pleased with this result, we do expect expense growth to be at a more normal level throughout the remainder of the year. Notably, property taxes are very much a wildcard, and we won't have a good sense of the full year impact until the back half of the year. Turning to geographic performance. Our best performing MSAs include Riverside, Atlanta, Indianapolis, Los Angeles and Las Vegas, where demand growth has been stronger than supply growth. Markets that underperformed included Portland, Dallas, Oklahoma City, Tulsa and Phoenix, most of which were impacted by elevated new supply. With respect to our balance sheet, we remain committed to our conservative strategy providing the flexibility we need to continue to fund our aggressive growth. During the first quarter, we issued over $33 million of OP equity, in connection with the acquisitions we completed. In addition, we just refreshed our ATM program in March. While we didn't utilize our ATM during the quarter, it remains an attractive tool as we think about sources of capital. Subsequent to quarter end, we received a BBB rating with a Stable Outlook from Kroll. This is a key step of the evolution of our capital strategy and will facilitate access to additional sources of capital. We also recently closed on a $100 million 10-year term loan, with a fixed interest rate of 4.27%. We used the proceeds to reduce borrowings on our revolver. Our weighted average cost of debt at quarter end was 3.6% and 75% of our debt was fixed rate. After the recently completed term loan, approximately 82% of our debt is now fixed rate and our weighted average maturity increases to 4.5 years. Given the proceeds of the $100 million term loan completed last week, we have approximately $220 million of additional availability on our $400 million revolver. At the end of the first quarter, our net debt-to-EBITDA ratio was 6x, the middle of our target range of 5.5 to 6.5x. We have no debt maturities in 2019. Now let me address our guidance for 2019. Although our first quarter results were strong as our trends subsequent to quarter end, it's been our practice to wait until we get further along the peak spring and summer leasing season before we revise our full year guidance expectation. So we're reaffirming our guidance and leaving it unchanged at this time. We will remind you that we continue to expect the pace of same-store revenue and NOI growth to moderate somewhat as the year progresses due to increasing pressure for the new supply and more challenging year-over-year caps on the back half of the year. However, we'll revisit our guidance numbers at the time of our second quarter earnings release. Before we move on to the Q&A portion of the call, I'd like to highlight an upcoming event that we're hosting for institutional investors and analysts on Tuesday, June 25. We'll be hosting a meet the PROs and Portland property tour in Portland, Oregon. Given the heightened interest in that market, which is our second-largest NSA and reflects the more exposure to our PRO, we decided that this will be an efficient way for analysts and investors to interact with our PROs and take a deep dive into the Portland market. More details will be provided shortly, and we hope you'll be able to join us for this event. Thanks again for joining our call this morning. We'll now turn it back to the operator to take your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Todd Thomas with KeyBanc Capital Markets.
Todd Thomas: Tammy, just first question. I was wondering if you could discuss the changes to the same-store pool. And what the impact was on the same-store metrics in the quarter?
Tamara Fischer: Sure. As I mentioned, we added 63 stores to the same-store pool this year, Todd. And 13 of them were in the Atlanta market, 6 in St. Louis, 5 in Portland - actually 5 in Las Vegas, 4 in Portland and 4 in Shreveport. And overall, the new stores performed better than the old same-store pool. The same-store revenue growth on the 2018 same-store pool would have been 4%, that's on the 376 stores that were in our pool last year. And same-store NOI growth was at 5.5%. So the new stores performed slightly ahead of our expectations this quarter.
Todd Thomas: Okay. That's helpful. And then in terms of the guidance, I understand the policy about waiting a little further into the year to revisit the guidance, if necessary, just given the seasonality of the business. But can you give us a sense of how much ahead revenue and NOI was in the quarter versus your expectations in the quarter?
Tamara Fischer: So I'd say it was probably 100 basis points maybe ahead of where we thought it was going to come out. We cut that benefits from the new stores to the same-store pool. We think that will diminish over the balance of the year. We also, as you know, we have tough comps in the back half of the year. And so in the face of new supply, 35% of our stores are facing challenges from new supply. We just thought it would be prudent to hold off, see how this spring and summer leasing season goes and revisit it [indiscernible]
Todd Thomas: Okay. Got it. And then just last question. In terms of the rent increase program to existing customers, I was wondering if you could talk about sort of legacy policies, some of the PROs, whether the PROs have been pushing REITs to existing customers all along historically. Or is that changed at all more recently either on the last few years? Or as some of the PROs have joined the platform a little bit more? I'm just trying to get a sense for how that program may have changed or maybe changing in sort of recent years or recent quarters?
Steven Treadwell: Todd, it's Steve. Honestly, we've been quite consistent on our rent increase policy and programs in the last, I'd say, 3 years really since we started in earnest with revenue management. The PROs do have sort of differences in practice sometimes, but in terms of looking at the time line, our rate's been generally pretty consistent through time. So you aren't seeing anything in this quarter different than what we've been doing for the last couple of years. And to just summarize, we're still getting sort of high single-digit increases on average every quarter, and we still expect to raise rents on, let's say, 3/4 for our customers across the course of the year.
Todd Thomas: And what about for the PROs that have joined NSA since the initial formation of the company? Have you seen, or do you sense that they do get either more aggressive or have increased confidence sort of after joining the platform and either working with some of the company's best practices and technology and systems? Or is that also just not necessarily consistent with what's happening?
Steven Treadwell: No. I think that's a fair point. Certainly, the new PROs as we bring them under the NSA umbrella and get them plugged into our platforms, they definitely adjust their behavior and certainly learn from their peers. And so they sort of join the fray if you will when it comes to rent increases. But I would say that happens early on when a new PRO comes online, and everybody has been pretty consistent since they've been with NSA.
Operator: Our next question comes from the line of Ki Bin Kim with SunTrust.
Ki Bin Kim: Can you talk about the same-store pool definition?
Tamara Fischer: Same-store pool definition, the way we define the same-store, Ki Bin, is those are all stores that we own for the entirety of both periods being reported upon. And so all of the stores that were owned by NSA, 1/1/18 would be in our 2019 same-store pool. And we - at least historically, we do not adjust the same-store pool the course of the year.
Arlen Nordhagen: So Ki Bin, this is Arlen. You remember we only buy stabilized assets. So we don't have any fill-up assets in any of our portfolio. So basically these are all stabilized assets. The thing that changes though during the year is, early on in the year, for example, if we bought a property, let's say, in November of 2017, it would now be in our same-store pool, but we buy most, all of these properties from third-party operators. And so by the first quarter of '18, we may not have had all of our improvements to the property in terms of the physical CapEx that we spend on the properties. We certainly wouldn't have had all of our programs implemented fully. So that's really the source of the pickup is the fact that our performance is so much better than the prior performance under the third-party sellers once we implement our programs and platforms. And so the first quarter is always going to be the highest in terms of the new contribution from the new stores to the same-store pool.
Tamara Fischer: And then we'll expect to see a trail off...
Arlen Nordhagen: Yes. And then it won't be nearly as much later because we will have already been running that for nine months or whatever.
Tamara Fischer: And for this pool, actually it's interesting. A large number of the stores that are coming into the same-store pool in 2019 will target the portfolio acquisition that we completed in November of 2017. And so the first quarter of 2018, we've really only owned the stores for, call it, 60 days by the time the new year started. So as - all of that adds up to create this differential in the first quarter, positive differential.
Ki Bin Kim: Do you have an occupancy minimum to be considered a stabilize property that you would put in the same-store pool because I realize you're not buying a ton of development, but maybe kind of recently developed projects might still not be fully stabilized?
Tamara Fischer: No. We don't, and we really didn't - we have a practice of not acquiring nonstabilized properties.
Arlen Nordhagen: So the definition we use is that they have to be at least above the market average occupancy in the market that is at. So basically, the bottom line of that is we don't have any properties in the same-store pool that are typically below 80% or 85% occupancy. But if their - the market average occupancy was 75%, theoretically a 75% store could go into the same-store pool, if that's the stabilized occupancy for that market.
Ki Bin Kim: Okay. And you'd mentioned the uplift that you're getting in same-store revenue once you add a property to your platform. I know it probably depends on which PRO your adding and what assets and what markets, but any sense of directionally like how much uplift you are actually able to get?
Arlen Nordhagen: Well, in general what we see is that the performance of new stores when they come in, it varies a lot by who the prior operator was. But on average, they typically, for the first year or so will rent double, while our average same-store performance is on our portfolio that we had for a long time so.
Ki Bin Kim: Okay. And just one last question. I remember last conference call, you guys mentioned that street rates were down low to mid-single digits. So when we see this type of same-store revenue reacceleration, it is a quite a bit of surprise. Can you talk about what you're seeing the street rates today for the current pool?
Steven Treadwell: Yes. Ki, but it's quite similar. It may have slipped a little bit frankly since the last time we talked about this. I would say, we're probably down about 3% to 4% on street rates right now versus last year this time, and that was true to the bulk of Q1 as well. So street rates are still a headwind for us, obviously make up for this rent increases to existing customers. And as we mentioned for this quarter, for Q1, we made up for - with some occupancy pickup. So it is still a tough fight out there with the new supply, and we'll work it out store by store and unit type by unit type.
Ki Bin Kim: And so am I correct to assume that if street rates are still negative low to mid-single digits, and your average occupancy, the way you show it is up only 60 basis points year-over-year. It basically, just implies that you're getting a huge uplift from the ECRI program, especially as it pertains to newly added stores, is that the right way to think about it?
Steven Treadwell: No. That's absolutely correct. And we've been saying that for several quarters now that - really the lever that we're pulling when we grow revenue is the rent increases to existing customers. There is a roll down effect with street rates being lower than last year, and we offset that and go beyond through the rent increases, and that's how we achieve the rental rate growth that we're putting out there, 4% for Q1.
Tamara Fischer: But we did get a good lift in occupancy from the new stores added to them. Yes, that's right.
Steven Treadwell: Absolutely. So that - when you think about the 40 bps that we saw in Q1, that is largely coming from the new stores and same-store pool. When you look at the rental rate increase of 4%, that is a combination of a headwind from street rates being down and new supply and the tailwind or the trough of the existing customer rate increases or ITRC which I currently prefer.
Operator: Our next question comes from the line of Ronald Kamdem with Morgan Stanley.
Ronald Kamdem: This is Ron. Just a couple quick ones for me. One, can you just touch on some of the discounting trends that happened in the quarter? And how you're looking at that for the rest of the year? And then the follow-up to that would be in terms of online advertising, is that - how you guys thinking about that channel? And is that something where we could see spending increasing?
Steven Treadwell: Yes. So discounting year-over-year was a bit flat for a number of quarters. I would say that for Q1, it was probably up about 2% year-over-year. And once again all the same factors apply here. We're fighting new supply in many of our markets with many of our stores, so discounting makes a difference. And as we said many times, discounting, it's preferred to a lower street rate. So with revenues just cutting in a lower rate where we can, and we definitely been pulling on that lever. When you think about advertising spend, I know some of our peers have expressed that they're up. We actually have seen flat year-over-year advertising spend, and that's really been driven by improvements in our advertising platform or pool marketing platform, marketing team, if you will, is doing much better job year-over-year. And so we're seeing the cost reservation, the cost per lead actually hedge downwards for us. So advertising expense has been very constant and flat so far. I would expect that as you bet the year wears on, we may choose to invest more in advertising cost to generate more rental. So I don't expect it to stay flat necessarily, but that's what we saw for Q1. So sort of tieing it altogether, I would say, discounting is up, advertising is flat, maybe is biased to the downtime in Q1 and so customer acquisition cost in Q1 was really very stable.
Arlen Nordhagen: And it's really a reflection, Ron, of the fact that as we keep improving our platform tools and refining them, we get a lot more effective with our marketing dollars. It's not that we do - everyone knows that the cost per click and all those with Google are going up, but when we can be more effective with how those are spend, we just get the benefit of that and some of our peers have been doing it longer than we have obviously since we're a new company. So they got those things already milked down their system, and we're just continuing to refine them as we go forward.
Ronald Kamdem: Great. That's helpful. And then if I could just kind of follow-up on the previous line of questioning in terms of acquiring stabilized asset and then sort of putting it through your program to get that uplift. Can you just talk about what do you guys doing to the properties? Is it just cosmetic in terms of the facade? Is it structural? And then in terms of the operationally, maybe what are the like 2 or 3 low-hanging fruit things that are really driving those kind of uplifts?
Steven Treadwell: Yes. It's kind of varies by store, by portfolio and since as we managed some stores previously. There are certainly cases where we find a store is undermanaged. There are cases where we'll find the store has been poorly marketed, and we can improve that. There are cases where we find that existing customers have not been getting rent increases, and we find that as a lever that we can pull. It's not consistent across every store, but we always look for catalysts like those that will allow us to drive value. It just happens to be different across a broad swathe of the portfolio. So we use every advantage we can get, and it's a combination of all those things. We certainly do as you say and improve the current appeal where it makes sense and invest in that as well. So I apologize, I can't give you more focused answer, but it's all the things we talk about.
Arlen Nordhagen: I would say, Ron, one thing we don't - we rarely see would be like structural problems. If we do have that, that would be negotiated as part of the contract where the sellers effectively paying for those repairs. So that's almost never. It's almost all these geared towards things that make the property more attractive, more marketable and frankly, it's a big part of our acquisition total budget. We spend a lot of money on almost every property we buy on the front end.
Ronald Kamdem: Got it. No. That answer is perfect. That's really helpful. I guess the last question was just, I appreciate the same-store disclosure by MSA, which I found to be helpful. But just from your standpoint, can you just provide us, I think we've talked about this team of supply potentially moving to some of the secondary markets. What are you hearing on that front? And what's your - what are your thoughts going forward on that?
Arlen Nordhagen: Yes. In general, we're very pleased with the fact that the secondary markets while they certainly have new supply, for the most part the supply has been much more balanced with the demand growth. Now there are exceptions to that and what you consider for example, Portland is sort of a secondary market, Austin is a secondary market from the standpoint, it's not the top 15. Either of those are top 15 and both of those are severely overbilled markets because they are highly attractive markets. People love them because they're growing so much. But in general, for the most of our secondary markets what we love about and as we see new supply that is coming in very commonly at the rate of growth of new demand, and that's really helpful.
Operator: [Operator Instructions]. Our next question comes from the line of Smedes Rose with Citi.
Smedes Rose: Also I just wanted to add, we do appreciate the incremental disclosure that you started to provide, that's helpful. A lot of our questions have been asked and answered, but I just wanted to make sure I understand some of the deceleration that you are anticipating to the balance of the year in same-store NOI. It sounds like that's primarily driven on the expense side versus the downtick in the revenues or both?
Steven Treadwell: I think we'll see a combination, but we do not expect to see this level of revenue growth as the year wears on. It's partially the impact of the newly acquired stores that have been [indiscernible] all those will mature as the year wears on. So their impact on growth will diminish. We certainly had a great quarter when it comes to expenses. We do not expect to hit 1% for the year. So you're exactly right, that will tick up. But I think in line, in general, it's going to be a combination of both increased expenses and deceleration on revenue growth.
Arlen Nordhagen: I think one thing we're seeing, Smedes, is that on the old same-store pool, that's pretty much what we - but it will continue pretty common, pretty much where it has been. But the new part to the same-store pool is going to slow down because the comps from last year keep getting tougher as we have those programs - our platform programs implemented longer last year. So that's really where we see the revenue impact slowing down the most.
Tamara Fischer: And I guess the only other thing I would add is Q1 property taxes came in at 3.7% on same-store pool. And as you know, or you might remember, we talked about 5% to 6% being built into our guidance. And while we are pleased with the Q1 results, we're still waiting to see what happens when we start getting the notices for - final analysis for 2019 in Q3. So we'll have more information, more color on that too when we report Q2.
Smedes Rose: Okay. And then, Arlen, on the last - your last quarterly call, you talked about seeing acquisition cap rates at 6% to 6.5%, have you seen any changes in the last 60 days or however?
Arlen Nordhagen: No, we really haven't. I would say that the good news is they haven't gone down, cap rates haven't gotten worse, but they really haven't improved either. So we're still running right in that range. Typically, we'll average for the year in the 6.25% type number with the markets that we go in for primarily. And that - as you go into the really larger primary markets, it will be in the 5.5% to 6% range and in the smaller markets, it will be 6.5% and it kind of blends out with our mix, right around 6% in the quarter.
Smedes Rose: And are you seeing any sort of, I mean, it looks like obviously you're getting acquisitions done. Are you seeing any, I guess, change in the sort of the volume of properties coming to market or kind of quality of properties coming to market? Anything there that's may be different over the last - since last we talked?
Arlen Nordhagen: No. Not really anything different, I would say. The first quarter might be a little slower than in terms of the new stuff coming to market, which will, of course, wouldn't flow until Q2 or Q3. That's maybe a little slower than it was in the Q4, but we're still seeing a very good volume of opportunities to look at all these comparable. I would say, one difference is that who we are seeing in the market is consistently different and that used to be. We were really always bidding against the other REITs. And now there's a lot of private equity-backed buyers that are - we're bidding against. That's - I would say, in a typical deal there might be 10 bps and 8 of them will be from private equity-backed guys.
Operator: Our next question comes from the line of Todd Stender with Wells Fargo.
Todd Stender: Did you guys go through the yields for the acquisitions in the quarter? I know it's a pretty diverse group. You've got the bulk, I guess, is in Louisiana and then you've got some New Jersey tucked in there as well as Georgia. Can we just hear some of those cap rates, I guess, that would be helpful.
Tamara Fischer: So on average, Todd, we're looking at call it, 6 in the quarter across the portfolio, but you're right. They're geographically diverse. The assets that came in with Southern were primarily in the sort of panhandle. We closed on the New Orleans portfolio at the same time. Stores that came in with Moove In are mostly secondary markets and Pennsylvania and mid-Atlantic. So on average, I'd say 6 a quarter is a good average cap rate to use.
Todd Stender: Okay. And were all 32 facilities acquired through the 2 new PROs?
Tamara Fischer: No. There were a handful of other portfolios and one-off transactions that we closed in the quarter. Those are the two biggest obviously.
Todd Stender: Okay. And for the remainder that were not from the new PROs, how many properties were spread across how many existing PROs?
Tamara Fischer: If I know that rate of the top of my head. I would say, about half the stores were not with the two new PROs, and they were spread among probably 4 or 5 different PROs.
Arlen Nordhagen: Yes. I mean only about half. Little - just a little over half of the stores came with the new PROs. And so almost half of them were from our existing PROs, and we continue to see that as we look into the second quarter, all the PROs were active. We're going to be seeing acquisitions with almost all of our PROs this second quarter.
Todd Stender: Okay. That's helpful. And then for the new PROs, were they using revenue management systems? And how sophisticated would you say were those properties run? I guess, institutionally run and just to maybe get a glimpse of the upside potential?
Steven Treadwell: So definitely, most of our controls are institutional operators, in terms of specific revenue management policies and procedures, I would say, one of the PROs was very advanced in that respect, the other maybe not so much. And so we'll get maybe a little more uplift from that other PRO, but it's sort of a split - split house on that one. And certainly, both of the new PROs will benefit from the sum of the scale benefits that we get through our platform tools, and that would be benefit that they get which our PROs - other PROs have always received.
Todd Stender: Okay. Then just last question. When you go to, I guess, the funding sources, you guys have a great access to capital. Funding sources have been pretty diverse, particularly in this quarter. Can you just go through some of the costs or coupons, you have the Series A1 preferreds. You've assumed some liabilities not much, but just maybe go through some of the costs associated with your capital?
Tamara Fischer: So most of that capital that we issued was FP and OP equity and that's issued at market. The preferred equity was a very small piece of that, and I think we issued that just under par. So something slightly over 6%, if you will. And I guess beyond, so that's really it. I mean the OP and FP equity, and the debt we did after the end of the quarter, and I think we locked that in at 4.27% fixed. We locked it to fixed, I should say.
Todd Stender: Okay. Sorry, I guess maybe I do have one last question. With the Kroll rating, what's that for the benefit of? Does that help with your term loan pricing? Is this just a stepping stone maybe before you start to seek ratings from S&P and Moody's, where does that kind of fit in?
Tamara Fischer: Yes. I think we take it as a more as a stepping stone, and I think it will give us an opportunity to gain easier access to perhaps the debt private market. But as you say, I would think of it more of a stepping stone.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to George Hoglund for - Vice President of Investor Relations for closing comments.
George Hoglund: Thanks, everyone, for joining NSA's first quarter 2019 earnings call. We appreciate your continued interest in and support of National Storage Affiliates. We look forward to seeing many of you at the upcoming REIT conference in June and later that month at our meet the PROs and Portland property tour. Have a nice weekend.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.